Operator: Good morning and welcome, ladies and gentlemen, to the fourth quarter earnings call for Chimera Investment Corporation. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. At the request of the company, we will open the conference up for questions and answers after the presentation. This earning call may contain certain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Forward-looking statements, which are based on various assumptions, some of which are beyond our control, may be identified by reference to a future period or periods, or by the use of forward-looking terminology, such as may, will, believe, expect, anticipate, continue, or similar terms or variations on those terms or the negative of those terms. Actual results could differ materially from those set forth in the forward-looking statements due to a variety of factors, including but not limited to, our ability to obtain financing arrangements; general volatility of the markets in which we invest; interest rate mismatches between our mortgage loans and mortgage-backed securities and our borrowings used to fund such purchases; changes in interest rates and mortgage payments rates; effects of interest rate caps on our adjustable-rate mortgage-backed securities; rates of default or decreased recovery rates on our investments; prepayment of mortgage and other loans underlying our mortgage-backed or other asset-backed securities; the degree to which our hedging strategies may or may not protect us from interest rate volatility; changes in governmental regulations, tax law, and rates and similar matters; availability of investment opportunities in real estate-related and other securities and market trends in our industry, interest rates, the debt security markets, or the general economy. For a discussion of the risk and uncertainties, which could cause actual results to differ from those contained in the forward-looking statements, see Risk Factors in our most recent Annual Report on Form 10-K and all subsequent quarterly reports on Form 10-Q. We do not undertake and specifically disclaim any obligation to publicly release the results of any revisions, which may be made to any forward-looking statements to reflect the occurrence of unanticipated or events or circumstances after the date of such statements. I will now turn the conference over to Mr. Matthew Lambiase, Chief Executive Officer of Chimera Investment Corporation. Please go ahead, sir.
Matthew Lambiase: Thank you, Beatrice. Good morning, and welcome to the fourth quarter earnings call for Chimera Investment Corporation. I’m Matt Lambiase, the CEO and president of Chimera. And joining me on the call today are members of our senior management team, our CFO, Alex Denahan; our Head of Chief of Investments, Chris Woschenko; our Head of Underwriting, Bill Dyer; and also joining me today are Wellington Denahan-Norris, the Chief Investment Officer for FIDAC; and Jay Diamond, Managing Director of FIDAC and a director of Chimera. We are here today to review the results for the fourth quarter of 2008 and answer any questions that you may have, and before we take your questions, I’ll make a few general comment and have Alex review the quarter. For far too many, 2008 will not have passed fast enough. It was a year of tremendous asset volatility topped up with massive governmental capital injections into the banking system. Chimera took its lumps through the period but emerged on solid footing. Despite the difficult environment, or perhaps more accurately because of it, the company successfully raised new equity in late October. Management disclosed and executed on a defensive strategy to invest the new capital into Agency MBS on an unlevered basis and slowly ramp non-agency asset purchases. We thought the market would have another wave of volatility and we waited to see more clarity on number of fronts; turned out to be a wise decision. In November, Treasury announced that they were not going to use the newly created TARP program to buy mortgage assets as previously anticipated by the market, and in December several large banks came under pressure, both of which contributed to increased price volatility in the last half of the quarter. To make matters more interesting, subsequent to year-end, new bankruptcy mortgage cram-down legislation is being contemplated in Washington, and has once again added uncertainty to the market. Chimera, like other participants, is waiting to see the complete language of the legislation. Nonetheless, there are aspects of the market that may benefit from legislative changes. The US government is expending extraordinary effort to add liquidity to the housing market. Some efforts such as the FDIC Bond Guarantee Program have started to thaw out parts of the non-Agency MBS markets. Banks who issue these guaranteed bonds are using the proceeds to fund their consumer lending, and in doing so freeing up cash flow that can now be directed towards the secondary markets. So far this year, we’ve seen a much more pronounced bid from banks in the prime MBS market and prices have increased accordingly. The rising market prices for prime jumbo secondary MBS that we’ve seen so far this year may be the first stage of a recovery that’ll make credit available once again to jumbo borrowers and help stabilize home prices. We remain both cautious and optimistic as we look forward. Markets generally tend to overreact on the downside in these circumstances. Our capital resources and our talented team are busily evaluating opportunities, but we have been selective in our commitment to the market in the current environment. And the bottom line is we are confident that our patient deployment of capital will benefit the portfolio in future quarters and for years to come. With that, I’ll turn it over to Alex.
Alex Denahan: Chimera reported Core Earnings for the quarter ended December 31 of 9 million, or $0.07 per share. Core Earnings is a close approximation for taxable earnings out of which we pay our dividends. We declared a dividend for the period of $0.04 per share producing an annualized dividend yield of 4.64% based on the December 31 closing price of $3.45. Our book value at December 31 was $2.34. As opposed to Core Earnings, we reported GAAP income for the quarter of 8.8 million, or $0.07 a share. At December 31, Chimera was leveraged 2.1-to-one. At December 31, our portfolio of 1.4 billion included non-agency RMBS, Agency RMBS, and secured residential mortgage loans of high credit quality. During the quarter, we purchased 254 million of new investments from the proceeds of our secondary offering completed in late October. By market value, our RMBS portfolio was composed of approximately 70% of our legacy non-agency RMBS investments, 28% newly purchased Agency RMBS, with the balance in newly purchased deeply discounted Non-Agency RMBS. In aggregate, our portfolio was weighted to hold approximately 66% mortgage-backed securities and 34% secured residential mortgage loans. We sold no assets during the quarter. Our annualized yield on the portfolio for the quarter was 5.74, and the annualized cost of funds were 3.96 providing annualized interest rate spread of 178. As of quarter end, substantially all of the RMBS in the portfolio are AAA rated. All loans are accruing income, and we have not recorded any charge-offs. During the quarter, we recorded an increase in our loan loss provision of 940,000 that is reflective of an increase in delinquencies and losses at the originator. As we have said before, we have adopted this reserve policy due to the lack of loss history at Chimera. At this time, I will turn the call back over to the moderator, and we will answer any questions regarding this release.
Operator: (Operator Instructions). And our first question comes from the line of Steve DeLaney with JMP Securities. Please proceed, sir.
Steve DeLaney - JMP Securities: Sure. Good morning, everyone. How are you?
Matthew Lambiase: All right, Steve.
Steve DeLaney - JMP Securities: The mark, the negative mark against the portfolio through OCI in the quarter of about 128 million, would it be reasonable that the majority of that, I would assume, is on the re-REMICS, is that correct?
Alex Denahan: All of it is on the company portfolio.
Steve DeLaney - JMP Securities: Okay thanks, Alex. So I calculate that you’ve got those marks now at about 70 versus 85 at September 30?
Alex Denahan: That’s very close.
Steve DeLaney - JMP Securities: Okay. And I guess, my question there just on that mark, I mean, should we look at that as sort of a dealer, sort of a bid side indication, a value? Or is that something you’re coming up with internally? Or is it pretty much a market bid indication?
Alex Denahan: Our policy is to mark the portfolio internally, and then to go out and get three dealer quotes and average those dealer quotes, compare that against our mark, and make sure we’re within a very low variance. And as long as we’re within that low variance, then our mark stands.
Steve DeLaney - JMP Securities: Okay.
Alex Denahan: But essentially the street is confirming the market value that we’ve placed on them.
Steve DeLaney - JMP Securities: Okay. So I mean, it looks like prime super senior AAAs were down about 20 points in the fourth quarter or so. Even though these are super duper re-REMICs, you really kind of tracked more; you didn’t seem like you’ve got a lot of credit from the street in terms of the higher credit support?
Alex Denahan: No, that’s true.
Steve DeLaney - JMP Securities: Okay then. And, if any guess, if you were to have to go out and buy those bonds today, I mean, are the sort of the difference between the bid and the offered side of the market, I mean, are we talking magnitudes of as much as say 10 points, if you were to go to replace that portfolio today?
Matthew Lambiase: Obviously, the bid offer is five points.
Steve DeLaney - JMP Securities: Five points. Okay, that’s very helpful. Okay.
Matthew Lambiase: Steve, I would just like to add that the fourth quarter was an amazingly volatile period, and it’s not just us but you can go back and you can take a look at what John Thain was saying when Merrill Lynch and Bank of America were --
Steve DeLaney - JMP Securities: Sure.
Matthew Lambiase: I mean the mortgage markets were -- after the Treasury came out and said that they weren’t going to use the TARP funding to buy the assets, there was a free fall in pricing and coupled with year-end and it was just a very dramatic period.
Steve DeLaney - JMP Securities: No, I think that date was like November 12, maybe and then it was just like falling off a cliff, you’re right.
Matthew Lambiase: That’s right.
Steve DeLaney - JMP Securities: After that.
Matthew Lambiase: And we did see the market recover in early January, and I think the tone of the market currently for non-agency assets is I think very strong. There are a lot of people, a lot more interested people, buying the assets. We’re seeing bid lists come, tremendous more interest in the market in general, and prices have increased I think pretty robustly since the first week of January. And I think that the cram-down legislation that we saw has kind of stalled that rally. But I will tell you that there is a lot more interest and the market is much more robust than it was in the fourth quarter.
Steve DeLaney - JMP Securities: That’s great color, Matt, and I suspect that after Geitner talks at a 11 a.m., there may even be further interest that’s what people was speculating about the TALF program.
Matthew Lambiase: Yes.
Steve DeLaney - JMP Securities: Thank you very much.
Matthew Lambiase: Thank you, Steve.
Operator: And our next question comes from the line of Andrew Wessel with JPMorgan. Please proceed sir.
Andrew Wessel - JPMorgan: Hi, thanks for taking my question. I just had I guess trying to clarify the structure of the portfolio. So 28% of total assets you said in CMBS -- RMBS and the rest is legacy or a loan/non-RMBS is that right?
Alex Denahan: 28% of the RMBS portfolio.
Andrew Wessel - JPMorgan: Okay.
Alex Denahan: Not of total assets, just the RMBS.
Andrew Wessel - JPMorgan: Okay, so when we’re thinking about ultimate portfolio structure and I know that’s a moving bar, but what are your thoughts today on run rate where you’d like to be in terms of waiting towards agency RMBS versus non in the securities portfolio?
Matthew Lambiase: In our fully ramped portfolio?
Andrew Wessel - JPMorgan: Right.
Matthew Lambiase: I think we’re saying we’re going to keep the same amount of agencies that we’re seeing on the balance sheet. If I was going to use a rough number, I would say we’d keep the same amount of agencies in there or just add non-agencies to that. And we’re going to offset it, and keep our whole pool test constant.
Andrew Wessel - JPMorgan: Right. So you’ve got 27 million in cash then to put into non-agency RMBS?
Matthew Lambiase: Well, the other...
Alex Denahan: We could also lever the agency portfolio.
Matthew Lambiase: Yes, right.
Andrew Wessel - JPMorgan: Got you. And what kind of leverage would you feel comfortable with on the agency portfolio?
Matthew Lambiase: It would be extremely low and those markets -- the agency collateral that we have in the portfolio is, I think, it’s plain vanilla pass-through TBA eligible, liquid as you get, and you’re talking about very low hair cuts, and very low financing rates on that. But we would chose to be very low levered on that portfolio.
Andrew Wessel - JPMorgan: So, like two to four, is that fair?
Matthew Lambiase: Yes, I would say that those are fair.
Andrew Wessel - JPMorgan: Okay.
Matthew Lambiase: For this market.
Andrew Wessel - JPMorgan: Great. And then in terms of competition, obviously you had another company out there in the market raising capital just publicly saying it’s getting close to the right time to buy NIC assets and they like the price and characteristics in the distress sellers again that they’re seeing. What kind of competition are you seeing in the asset pool? Obviously, that’s just one kind of small player, but who else is out there bidding?
Matthew Lambiase: It’s kind of interesting. At the turn of the year, we have seen many more banks in the marketplace buying prime jumbo paper, and that market has been extremely robust from these small banks and people getting TARP funding and other types of capital injections. We’re also seeing some opportunity funds, some of the brand name guys that have been out there, that have been rightly called on the market. I think Paulson has been in the paper saying that Paulson & Company has been buying non-agency assets now. And it’s a very large market. There are a lot of people raising money to take advantage of these opportunities. And I agree with Redwood that the opportunities are spectacular, and in the public space there are very few companies that can take advantage of any kind of treasury liquidity facility that they put in place going forward.
Andrew Wessel - JPMorgan: Great. Thanks a lot.
Matthew Lambiase: Thank you.
Operator: And our next question comes from the line of Ken Bruce with Bank of America-Merrill Lynch. Please proceed.
Ken Bruce - Bank of America-Merrill Lynch: Good morning. This is maybe an extension of Steve’s earlier question, can you give us some additional characteristics about your securities portfolio that basically differentiates them from where some of the peers were marking that at say $0.65 on the dollar?
Matthew Lambiase: Well, I think a fair way to look at it is, if you look at security and then take a look at what the underlying credit support is, generally you can value the additional credit support at somewhere from 50 to 75% of value. So, let’s say you have an extra 10% of credit support, that’s going to add an extra five to seven points of value to your bonds. And then that difference is going to depend on what the delinquency pipeline looks like. So if you look at our stuff and say we have an extra 20% of credit support, that stuff is going to trade somewhere between 10 and 15 points higher.
Ken Bruce - Bank of America-Merrill Lynch: Thank you. And this is more of a comment, but as you’re kind of thinking about the disclosure for current -- for future periods, would you consider enhancing the disclosure around the Non-Agency portfolio in particular -- maybe just generally speaking, the RMBS portfolio, so we have a better sense as to what type of investments are being held within that portfolio, please?
Matthew Lambiase: You know what? We’ll consider it.
Ken Bruce - Bank of America-Merrill Lynch: Thank you. That’s it, thanks.
Operator: And our next question from the line of Jim Young with the West Family Investments. Please proceed.
Jim Young - West Family Investments: Yes, hi. While you had mentioned there were no-nonperforming loans at 12/31, could you give us some clarification as to how many of the loans were 60 days delinquent, and how many are 30 days delinquent in the overall portfolio?
Alex Denahan: Sure. At 12/31, I have one loan that’s 30 days and one loan that’s 60 days. So in a portfolio, or in an out of a purchase of roughly 1,000 loans, I have a few that are more delinquent at 12/31.
Jim Young - West Family Investments: Thank you.
Alex Denahan: Okay.
Operator: And our next question comes from the line of Bose George. Please proceed, sir.
Bose George - Keefe, Bruyette & Woods: Okay thanks. Hey good morning. I had a couple of things. First, on the Agency MBS, is the purpose of holding that Agency MBS just to meet the whole pool test or is it also an opportunistic source of capital and maybe you see things that you want on the non-agency side?
Matthew Lambiase: Well, I think it serves both of those for purposes. I mean it turned out to be a very good investment, and also it does meet our whole pool test.
Bose George - Keefe, Bruyette & Woods: Okay, then just switching to the jumbo triplet prices. You mentioned that prices have recovered. Can you give us some indications relative to where they were in October where prices are now?
Matthew Lambiase: It varies sector-by-sector. If you’re talking about just sort of prime HOLOs that’s dramatically higher. I mean, I would say that could be 10 or 15 points higher.
Bose George - Keefe, Bruyette & Woods: Higher than what it was in October you mean?
Matthew Lambiase: Yes, because a lot of the thrifts that received capital injections need to buy a non-performing jumbo paper and there really isn’t a whole lot of production. So that market’s rallied quite a bit. If you take a look at the senior, super senior securities market, that’s actually quite a bit lower. But that sort of ebbs and flows. I mean as the market tightens more bonds come out and the market weakens, so that moves around day-to-day and week-to-week and it can move by like five or 10 points in a week. But, I would say in general, that that market is probably still 10 to 15 points cheaper than where it was in November.
Bose George - Keefe, Bruyette & Woods: Okay. And then finally, I have a question on the tax treatment of the purchase discounts. It looks -- I mean since the accretion of those discounts, that is, taxable income but not cash earnings, is there a limit to the amount of discount securities one can have in a portfolio, in a REIT portfolio?
Alex Denahan: There is not a limit. The limit is in managing your cash flows to pay your dividend. At some point in time, if you have a significant portion of your portfolio that’s discounted, you’re going to be using your principal payment. Your P&I payments, the portion of your principal is going to be used to pay your cash dividend. So, it limits future earnings to a certain extent and it’s a cash flow decision you make in the current quarter.
Bose George - Keefe, Bruyette & Woods: But I was just thinking in terms of right now, you’re nowhere near a point where you have to worry about that, is that correct?
Alex Denahan: No, not at all.
Bose George - Keefe, Bruyette & Woods: Okay, great. Thanks a lot.
Operator: And our next question comes from the line of Douglas Harter with Credit Suisse. Please proceed, sir.
Douglas Harter - Credit Suisse: Thank you. I was just wondering if you could talk about the pros and cons of continuing to wait versus taking advantage of opportunities that you do find attractive. Or waiting, and possibly missing some of the rally until new fed programs come out?
Matthew Lambiase: Well, I think that it’s our job to figure out the best time to access the markets and be prudent. I would just caution that this market has a lot of government intervention. And as we saw from the TARP announcement, that was a good thing and turned out to be a very bad thing when they decided not to use it and the market reacted kind of violently with that news. I think we feel pretty constructive in this space. We’ve seen a lot of more players in the market. We have committed capital to the market so far this year; the first week of January and the last week or so of December we started buying paper. We did pull back a little bit from the market when we saw this cram-down legislation, because we really do want to get to see what the final language of that legislation is before we fully commit to the market. And, I think, that’s just being prudent. I think when you have so many different moving parts around here, it’s the smart thing to do with the capital is to be prudent and have dry powder. And I think you’re right. We’re constantly looking at the market, constantly trying to evaluate the right time to execute, and I think we called it right in the fourth quarter; and I think and I’m pretty constructive that we’re going to call it right in this quarter now. With regard to the cram-down legislation, it looks like from a credit point of our portfolio, our portfolio is I think pretty well insulated from any direct losses from the legislation, but you do have to worry about market movements with regard to the legislation. And I think the legislation looks right now is that the market is not going to sell off dramatically when the final legislation gets through the Congress.
Douglas Harter - Credit Suisse: Okay, Thank you.
Operator: And our next question comes from the line of Ben Atkinson with Gagnon Securities. Please proceed.
Ben Atkinson - Gagnon Securities: My question was answered. Thank you.
Matthew Lambiase: You bet.
Operator: (Operator Instructions). And our next question comes from the line of Jordan Hymowitz with Philadelphia Financial . Please proceed, sir.
Jordan Hymowitz - Philadelphia Financial : Hi, guys. Thanks for taking my call.
Matthew Lambiase: Hi Jordan.
Jordan Hymowitz - Philadelphia Financial : I have two quick questions. One, there’s been a number of articles recently written that jumbo prime is starting to have much greater losses than traditional prime. Are you noticing that, and I’m not taking about Alt-A, I’m talking about more jumbo on size?
Matthew Lambiase: Yes, the thing about that is, when you see people describe jumbo prime that’s a very broad type of definition and I don’t think jumbo prime isn’t always what you think. I mean, in a lot of cases, that’s going to include the option ARM paper, right, which obviously is performing very well. In some cases it’s also going to include a lot of the Alt-A paper. But, as you can see from our standpoint with the type of loans we have that are just plain vanilla, jumbo prime, high FICO, low LTV loans, its performance is fine. And I think we see a lot of securities everyday that we look at that originate in 2003, 2004, or 2005 and even some 2006 and 2007 stuff that are real plain vanilla, jumbo prime loans, and they’re just fine.
Jordan Hymowitz - Philadelphia Financial : Okay.
Matthew Lambiase: So I think when you see those kind of statements, you need to look very closely at the types of loans that they’re actually including in the sample.
Jordan Hymowitz - Philadelphia Financial : I mean you’ve already commented on your credit quality. Do you think that jumbo prime is, let me ask the question, are you seeing any dispersion in delinquencies between jumbo and Agency conforming for similarly underwritten product?
Matthew Lambiase: No.
Jordan Hymowitz - Philadelphia Financial : Okay. My second question, I know you guys don’t own any residuals so you’re probably good to comment on that, but for people that own residuals, when the cram-down occurs, do the residuals get waived out first in the cram-down?
Matthew Lambiase: It depends on how the deal is structured. Different deals are structured different ways. In a lot of cases, I don’t think the cram-downs are actually going to increase the cumulative losses for the deal. It’s just going to alter the way that the losses are distributed throughout the capital structure. So, you need to look at, and see how the waterfall of the actual capital structure is written.
Jordan Hymowitz - Philadelphia Financial : So, it really depends on a issuer-by-issuer situation?
Matthew Lambiase: Yes, sir.
Jordan Hymowitz - Philadelphia Financial : Thank you very much.
Matthew Lambiase: Thank you.
Operator: And our next question comes from the line of Joe Stieven with Stieven Capital. Please proceed.
Joe Stieven - Stieven Capital: Good morning.
Matthew Lambiase: Good morning.
Joe Stieven - Stieven Capital: I joined a few minutes late so I missed a few things. Going back to the RMBS portfolio, I thought you said the agency RMBSs were approximately 28% of the total MBS portfolio, is that correct?
Alex Denahan: That’s correct.
Joe Stieven - Stieven Capital: Okay. And then when you are looking at for projection purposes for us, the leverage you are talking about, keeping on the agency RMBSs, just to clarify the point, it was somewhere between two and four times, is that what you said?
Alex Denahan: That’s correct. And that would be when we’re fully ramped.
Joe Stieven - Stieven Capital: Okay. When you’re fully ramped. And then obviously on the non-agencies, you’re essentially not leveraging those at all right now?
Alex Denahan: We are now leveraging beyond what we were levered.
Joe Stieven - Stieven Capital: Okay. And then when you look at current opportunities right now. Where do you think the most attractive opportunities that you’re seeing in the current market are right now? And what, I guess on new investments, what type of characteristics do you find attractive, and what type of returns do you see on new investments right now?
Matthew Lambiase: Well, I mean, there are a lot of opportunities. I think, for the most part, they are in a security market right now as opposed to the HOLO market.
Joe Stieven - Stieven Capital: Okay.
Matthew Lambiase: That doesn’t mean that we don’t think that the HOLO market is actually going to cheapen up a little bit. I mean, it seems as it’s likely there is going to be lot of paper coming out from the FDIC over the course of the year. So I suspect there will be some opportunities there as the year goes on. But, right now, I think sort of what we think are the most opportunistic place to be right now are the Alt-A and some of the prime type vintage super seniors and senior type bonds, and that’s probably where we are going to stay.
Joe Stieven - Stieven Capital: Okay. Thank you.
Operator: And our final question is a follow-up from Mr. Bose George with KBW. Please proceed sir.
Bose George - Keefe, Bruyette & Woods: Great, thanks. Yes, I just have a couple of little follow-up questions. One was just on the agency RMBS, you currently don’t have any repo, is that correct?
Alex Denahan: At 12/31, there was no repo on that.
Bose George - Keefe, Bruyette & Woods: Great. And then just on the cost of funds. It was 339 at the end of the quarter. I assume it was elevated just from locking stuff in earlier. Is it safe to assume that goes down pretty materially in the first quarter?
Alex Denahan: Yes, that’s a safe assumption. The 339 includes the cost of financing on the secured debt as well.
Bose George - Keefe, Bruyette & Woods: Oh, it does, okay.
Alex Denahan: Yes, it does. So you have to take that into consideration.
Bose George - Keefe, Bruyette & Woods: Okay. Great, thanks.
Operator: And there are no further questions. I will now turn the conference back to Mr. Lambiase. Please proceed, sir.
Matthew Lambiase: Well, thank you for joining us on the fourth quarter 2008 earnings call, and we look forward to talking to you again at the end of the first quarter 2009. Thank you.
Operator: Ladies and gentlemen, if you wish to access the replay for this call, you may do so by dialing 1888-286-8010 or 1617-801-6888. The access code is 6986023. Thank you for all your participation in today’s conference. Everyone have a great day.